Operator: Good day, ladies and gentlemen, and welcome to the Third Quarter 2015 Hyatt Hotels Corporation Earnings Conference Call. My name is Melissa, and I will be your operator for today. At this time, all participants are in a listen-only mode. Later, we will conduct a question-and-answer session. As a reminder, this conference is being recorded for replay purposes. I would now like to turn the conference over to your host for today, Mr. Atish Shah, Senior Vice President, Interim Chief Financial Officer. Please proceed.
Atish Shah - Senior Vice President, Interim Chief Financial Officer: Thank you, Melissa. Good morning, everyone, and thank you for joining us for Hyatt's third quarter 2015 earnings call. Here with me in Chicago is Mark Hoplamazian, Hyatt's President and Chief Executive Officer. Mark is going to start by discussing the progress we're making toward our long-term strategic goals, and then I'll come back to provide detail on our financial performance during the quarter. Then, we will take your questions. We also have with us today Amanda Bryant (1:02), who joined the company last month, as our new Director of IR. Many of you know Amanda (1:07) given her experience covering lodging and leisure equities. We're delighted to welcome her to team Hyatt and know that she will be a great resource to the investment community. Before we get started, let me remind everyone that certain statements made on this call are not historical facts and are considered forward-looking statements. These statements are subject to numerous risks and uncertainties as described in our Annual Report on Form 10-K and other SEC filings, which could cause our actual results to differ materially from those expressed in or implied by our comments. Forward-looking statements in the earnings release that we issued earlier this morning along with the comments on this call are made only as of today, November 3, 2015, and we undertake no obligation to publicly update any of these forward-looking statements as actual events unfold. You can find a reconciliation of non-GAAP financial measures referred to in our remarks on our website at hyatt.com under the Press Release section of our Investor Relations' link and in this morning's earnings release. An archive of this call will be available on our website for 90 days per the information included in this morning's release. And with that, I'll turn it over to Mark to get us started.
Mark S. Hoplamazian - President, Chief Executive Officer & Director: Thanks, Atish. Good morning, everyone, and welcome to Hyatt's third quarter 2015 earnings call. This morning, I'd first like to talk about our third quarter results and how those results reflect the continued execution of our long-term strategy. Following that and I'll discuss one of the key strengths of our strategy, our management and franchise business. After that, I'll turn it back over to Atish to discuss the quarter's results in greater detail. As you can see from the results we announced this morning, our underlying business continues to perform very well and we have strong momentum as we look ahead. Overall, we're executing well and remain on track with our long-term strategy. Adjusted EBITDA increased nearly 10% after adjusting for foreign currency translation and the impact of transactions. There are three reasons for this strong performance: first, RevPAR growth; second, strong transient and group demand; and third, a healthy pace of openings which is leading to strong fee growth. Our underlying business remains very strong, particularly in the Americas. We reported comparable constant dollar systemwide RevPAR growth of 5.4% with full service hotels in the Americas up 5.3%. RevPAR for our select service hotels in the Americas was up 7.2% with a significant majority of that increase coming from rate growth. Transient demand was very strong in the quarter with transient room revenue at comparable U.S. full service hotels up a very strong 9.2% in spite of weaker results in New York City. Strong transient markets included San Francisco, Hawaii, and Orlando. We saw weakness in New York City as new supply and lower international inbound travel negatively impacted results. Group rooms revenue at comparable U.S. full service hotels was up a little over 1% in the quarter, inclusive of an estimated 290 basis point impact from the timing of holidays in the United States. Group rates were up 4.7% in the quarter, the fifth straight quarter of increases in group rate. Group performance was impacted by lower association demand. However, corporate demand was extremely strong and we realized a 38% increase in in-the-quarter, for-the-quarter bookings in the third quarter. This reflects continued strength in demand from corporations in the U.S. for meetings and events as corporate profits remain strong, up 8% in the first half of 2015 compared to the same period in 2014. Our confidence in the continuation of strong demand for group business remains very high. And our outlook for the balance of 2015 and 2016 and for that matter 2017 is very positive. Pace is up in the high-single-digits for the remainder of 2015. The low-single-digits for 2016 with approximately two-thirds of our business booked at this time. And our group pattern in 2017 is very positive with group revenue pace up mid-single-digits and with approximately 40% of the business booked at this time. Now I'd like to turn to results outside the Americas. Our hotels in EAME/Southwest Asia grew RevPAR by 6.2% on a constant dollar basis in the quarter. The economies in the region remain mixed. We saw relative strength across Europe with mid-single-digit RevPAR increases. South Asia was positive, although, at a lower rate of growth than our hotels in Europe. While the Middle East was modestly net negative, in terms of RevPAR growth. Dubai, in particular, experienced a RevPAR decline owing to lower-rated group business and the shift of two holidays. The shift of the Eid holiday from October in 2014 to September in 2015 had a negative impact, which was partially offset by the timing of Ramadan. Combined, these two holiday shifts negatively impacted Dubai RevPAR by approximately 160 basis points. ASPAC RevPAR was up 3.1% on a constant dollar basis in the quarter. Northeast and Southeast Asia saw strong growth in the mid- to high-single-digit percentage range with strength in Japan, Shanghai, and resort locations. However, market conditions remained weak in Hong Kong. The Hong Kong market was down over 6% in the third quarter in terms of arrivals and down just under 12% in terms of RevPAR, this was driven primarily by the growing number of Mainland tourists travelling to destinations other than Hong Kong and the fact that Mainland tourists are now restricted in the frequency of their travel to Hong Kong. Additionally, the Mainland stock market decline and the devaluation of the renminbi caused weaker tourist spending. Against this backdrop, I am thrilled to report that all of our hotels gained share in Honk Kong during the period. Turning to results in Mainland China. Our RevPAR results in China varied by sub region. North China and South China were up in the low-single-digit range, while East China and West China were up in the mid-single-digit range. Overall, China, excluding Hong Kong and Macau, was up nearly 4% in RevPAR. Our results in Macau continued to be positive with RevPAR growth of over 2% despite the Macau markets RevPAR decline of over 15%. Seoul saw continued issues resulting from the MERS outbreak, although we think that after this third quarter impact, the impact ahead of us should be modest. In terms of openings, we opened nine hotels in the third quarter, bringing our openings to 37 in the first three quarters of 2015, reflecting a 28% increase over new hotel openings in the prior year period. We expect to reach our goal of opening approximately 50 hotels in 2015. Our current executed contract base consists of approximately 260 hotels and 56,000 rooms and represents an increase over our prior base of approximately 250 hotels and 55,000 rooms. Our current contract base represents 44% of our existing hotels and 35% of our existing rooms, at the end of the third quarter, supporting a strong opening pace in the years ahead. Of the approximately 50 new hotels we planned to open this year, over half will be select service, which is a testament to the strength in our Hyatt Place and Hyatt House brands. The balance is full service hotels located in markets such as Houston and Cancun in North America and a number of markets internationally in the Middle East and in Asia. Management and franchise fees continue to be a key component of our long-term strategy. Third quarter results highlight that our fee growth is very strong and continues to benefit from overall RevPAR increases, conversions, and new hotel openings. Total fees were up 9.6% in the third quarter with base management fees up 4.4% and franchise fees up 33%. Our incentive fees declined 8% in the quarter almost entirely due to currency translations. Excluding foreign exchange translation, incentive fees were essentially flat with the same period last year. Similar to prior earnings calls, we would like to take this opportunity to give you a closer look at a key component of Hyatt's business. This quarter, we would like to focus on our management and franchise fees and why that fee base is important to our value creation. Management and franchise fees are a key growth driver for the company. In 2014, our management and franchise segment accounted for 39% of our overall adjusted EBITDA, excluding corporate overhead and a growing mix of our business. At the end of the third quarter, year-to-date, our management and franchise mix increased to 43%. This progression is the result of our asset recycling activities as well as strong growth of our fee business around the world. Year-to-date, the Americas region accounted for roughly 80% of management and franchise adjusted EBITDA. As a reminder, our fees in the ASPAC region consist mostly of management fees and our fees in EAME/Southwest Asia consist entirely of management fees. We expect hotels entering our system to be a significant component of fee growth in the coming years. Growth will be supported by our executed contract base, which, as I said before, stands at 35% of our systemwide rooms at the end of the third quarter. We estimate that run rate fees embedded in our base of executed contracts for hotels is approximately $160 million per year upon stabilization of these hotels, representing 38% of our total existing third-party fee base of approximately $420 million for the trailing 12 months. To understand why we are so confident in our fee growth, let me provide three points on the composition of our contracted room base. First, by region, ASPAC accounted for just over 40% of the contracted base in terms of number of rooms, followed by the Americas and EAME/Southwest Asia which accounted for roughly 30% and 25%, respectively. Second, the mix of full service versus select service rooms in our contracted rooms base reflected an approximate 60%, 40% split at the end of the quarter. Just over half of those full service rooms are in the ASPAC region and the vast majority of those will be managed properties. Conversely, the Americas region accounts for over half of our contracted room base for our select service brands, the vast majority of which will be franchised. And third, the mix of managed versus franchised rooms in our contracted rooms base at the end of the quarter reflected an approximate 75%, 25% split systemwide, which implies very strong growth in management fees, consisting of a combination of base and incentive fees in the years ahead. As a backdrop, note that we've experienced growth in total third-party fees of approximately 70% over the past five years, 38% over the past three years, and 11% over the trailing 12 months. Our segment EBITDA from management and franchise activities has grown at a compounded annual growth rate of nearly 12% over the past five years. So, we begin from a very strong base of growth in fees driven by great performance in our existing hotels, reflecting the power and strength of our brands. We've grown market share over the past five years and have seen a number of our brands expand presence in key markets across that time period, benefiting our transient guests and our meeting planner customers around the world. Taking a look at management fees, we see three drivers of potential growth; RevPAR growth, the high mix of managed rooms in our contracted room base, and third, the potential for improvements in GOP margins to increase incentive fees. For illustration, we've seen a roughly 200 basis point increase in worldwide gross operating profit margins over the past three years. Based on a mid-single-digit increase in ADR over the last year and our outlook for 2016 based on corporate rate negotiations and based on group business trends, we're confident that we will see an expansion of margins over the course of the next two years. Our flow-through to gross operating profit remains at high levels running at over 60% year-to-date this year on a constant currency basis. We generally expect base management fee growth to be a combination of RevPAR growth plus net room additions and incentive fees growing at a faster pace. Recall that many international properties lack a hurdle for incentive fee purposes and, therefore, pay incentive fees from dollar one of gross operating profit. To give you a sense of the potential for growth in incentive management fees, we look at how that part of the business has performed relative to prior peak. We highlight that GOP margins at worldwide hotels ended 2014 nearly 300 basis points below prior 2008 peak. And our incentive fees were 17% or $23 million below prior peak. Specifically, incentive fees could grow at a rapid pace as more properties stabilize and hit profitability thresholds. We have significant room for future upside. For example, in the third quarter, about 39% of hotels in the Americas paid incentive fees and 72% of the hotels outside the Americas paid incentive fees. These percentages were roughly 15 points below prior peak. Specific drivers in incentive fees in future years include continued improvements in U.S. group business, increasing profit margins, and our growing mix of international properties. Now let me talk a little bit about our franchise business. Franchising is essential to our overall strategy as we seek to expand our brand footprint. If you look at our current run rate based on the latest 12 months, franchise fees have more than quadrupled since our IPO, benefiting from organic growth and conversions, and reflecting the strength of our select service brands. Our franchise fees provide relative stability over the duration of a full lodging cycle, given that they are driven by hotel revenues not hotel earnings. We expect select service to be an increasingly important fee generator going forward. In fact, Hyatt Place and Hyatt House account for roughly 40% of the number of rooms in our contracted base for new hotels. The last item I'd like to touch on regarding our fee business is a reminder of the relationship between RevPAR growth and segment adjusted EBITDA. For modeling purposes, a 1% change in systemwide RevPAR has an estimated plus or minus $5 million to $7 million impact on annual management and franchise adjusted EBITDA. Before I turn things over to Atish, I'd like to take a moment to reflect on our asset recycling activity and our general approach to capital investments in relation to growing our business. We talked extensively over the last five years about asset recycling as a core part of our strategy in the context of expanding into key markets as we increase the productivity of the capital invested in our owned hotels. This has worked extremely well for us as we bought or sold nearly $5 billion of assets over the past five years. Given the very significant amount of activity in 2014, at the end of 2014 we decided to reduce the pace of recycling as we digested the changes in our portfolio and, since then, we've seen improved earnings at a number of our hotels that were in our consideration set for disposition. And at the same time, we've seen somewhat more limited acquisition opportunities in asset categories relevant to our program and our areas of focus. So in relation to hotel assets, we are active in our evaluation of both acquisitions and dispositions on an ongoing basis and will remain so as we have in the past. Meanwhile, there have been recent press reports speculating about our potential interest in a competitor. Consistent with our past practice, we do not comment on rumors or speculations and this will be no exception. On this topic, we have no comment and we won't be making further comments on this today. Apart from our investing activity and M&A topics, I wanted to also provide a short update on our CFO search. Since the process began, we have been working with a major global search firm. We've interviewed a number of candidates, some of whom looked like a very good fit for us. We pursued these individuals, but for reasons relating to their existing positions and personal circumstances that evolved and changed during the time that we were in dialog with them. They were ultimately unable to make a move. We're still on discussions with candidates at this time and we continue to be very encouraged by the quality of the candidates interested in Hyatt. Meanwhile, we're very fortunate to have a very strong finance teams here at Hyatt with tenure and experience that has afforded us the opportunity to be selective in our search process. We also have an extremely capable Interim CFO in Atish, who has been a great partner to me during the search process. That's really all I can share with you at this point. And I thank you for your understanding. I'll now turn the call over to Atish, who will go into more detail on our results for the quarter.
Atish Shah - Senior Vice President, Interim Chief Financial Officer: Okay. Thank you, Mark. Let me start by touching on overall RevPAR results around the world. On a systemwide basis globally, comparable RevPAR grew 5.4% in constant dollars. In the United States, we saw continued rate-driven growth as our comparable full service hotel RevPAR increased 5.2%, comparable select service hotel RevPAR increased 7.1%. Our RevPAR growth exceeded U.S. upper upscale and U.S. upscale RevPAR growth, respectively, as reported by STR. In fact, year-to-date through September, our U.S. hotels outpaced industry growth as reported by STR by approximately 190 basis points. Outside of the United States, the results were positive as well. In the EAME and Southwest Asia region, RevPAR increased 6.2% on a constant dollar basis. In the Asia Pacific region, RevPAR increased 3.1% on a constant dollar basis. At our owned and leased hotels, RevPAR grew 5.9% in constant dollars as we increased our market share. Owned and leased hotels in Orlando, Berlin, and Mexico City all posted RevPAR growth in excess of 10%. This growth was a result of both strong group and strong transient business. Conversely, a handful of our hotels experienced RevPAR declines, including those in Aruba, Seoul, and Baku. The decline in the market in Aruba was due to new and recently repositioned hotels. In Baku, a combination of new hotel inventory and a decline in energy related demand drove down results. And in Seoul, the impact of MERS negatively impacted results, though business appears to be more stable heading into year end. Moving ahead to the margin front, comparable owned and leased margins decreased 60 basis points in the quarter, this reflects varied performance by region based on dynamics I will detail now. In the Americas, margins decreased 50 basis points. Margins were negatively impacted by property tax increases at four hotels. Excluding this impact, Americas owned and leased margins would have increased about 30 basis points. Recall that owned and leased margins in the Americas increased 240 basis points in the third quarter last year, so on a two year basis, excluding the impact of property taxes, margins would have risen about 270 basis points. Since the property tax increases primarily due to a catch-up, we expect the drag to overall owned and leased margins to be very moderate, meaning in the range of 10 basis points to 20 basis points for each of the next three quarters. For our other two regions, margins declined 160 basis points and 340 basis points, respectively. In EAME/Southwest Asia, the 160 basis point decline was primarily due to weakness in Paris. This is a result of a tough comparison due to a citywide event last year. And in the Asia Pacific region, at the Grand Hyatt, Seoul in particular, again, the impact of MERS caused the margin erosion. So while we're not pleased with our margin performance in the quarter, we do not believe it to be a reflection of a change in trends for owned and leased hotels, particularly for the hotels in the Americas we expect continued strong margin gains in the quarters ahead. For owned and leased hotels, adjusted EBITDA was up about 2% after adjusting for the impact of transactions and foreign exchange. The three hotels which I mentioned as well as the higher property taxes at four hotels impacted results by about $6 million. Moving on to pro-rata share of adjusted EBITDA associated with our unconsolidated hospitality ventures. This increased approximately $2 million, representing a roughly 10% increase. This growth is reflective of new JVs and continued ramp from our Playa investment. We sold a handful of our joint venture interests over the last year. Excluding these dispositions, growth would have been over 15%. Total fee revenue was up about 10% as compared to the same quarter in 2014. Excluding an estimated $4 million foreign exchange impact, fee revenue increased about 14%. Other fee revenue reported a $4 million benefit from a termination fee and increased deferred gains from asset sales. As Mark mentioned previously, we have significant room for growth in fees, particularly incentive management fees. Turning now to adjusted selling, general, and administrative expenses. These expenses were favorable by approximately 17% versus last year. Our adjusted SG&A expenses this quarter were lower due to two reasons. The first is the sale of our vacation ownership business last year, and the second was the result of $5 million in lower stock-based compensation expense due to reversal of a prior period expense. Excluding these two items, adjusted SG&A would have been flat to last year. We are benefiting from expense management, particularly with regard to payroll and benefits. Let me talk briefly about two items of note below adjusted EBITDA, items that impacted our net income. In the third quarter, we had $17 million in equity losses related to our unconsolidated hospitality ventures. This compares to a $6 million gain in the third quarter of 2014. This $23 million delta was driven primarily by the sale of an entity that had an ownership interest in the hotel. This resulted in an accumulated foreign currency translation loss of $21 million. As we noted on our last earnings call, this non-cash item was recorded in the third quarter in connection with the sale of our JV interest. As we look forward, we expect continued volatility in the results of our unconsolidated ventures, including potential currency-related impacts. As to income taxes, our effective rate in the quarter was higher than it was in the past due to the non-cash loss that I just mentioned. On a full-year basis, we expect our effective tax rate to be in the mid-40% range. Turning to our balance sheet. It continues to be healthy. We have significant liquidity available with over $700 million of cash and short-term investments, including approximately $100 million of restricted cash. We also retain undrawn borrowing availability of approximately $1.5 billion under our revolving credit facility. As to return of capital to shareholders, we repurchased approximately $195 million of common stock in the third quarter and approximately $48 million of common stock through October, bringing the year-to-date repurchase total to $587 million as of October 30. We currently have just have over $250 million remaining under our existing board authorization. As a reminder, since the beginning of last year, we have returned more than $1 billion to shareholders. This represents an 11% decrease in our shares outstanding in less than two years. Now I want to take a moment to talk about what we're currently seeing in the business and our thoughts on 2016. As to our current results, October has come in at our expectations. RevPAR growth was in the 8% range in the U.S., group demand and rate growth was particularly strong. In-the-month, for-the-month group bookings were up nearly 25%. In fact, October group production – that is, booking for all future periods – was up over 20%. So the group trajectory remains very strong. As you think about the fourth quarter, two other items to know. We expect the headwind due to FX to be about the same as it was this past quarter, about $6 million to $7 million, and we expect the year-over-year impact of transactions to be far less than it has been running so far this year. It should be in the $3 million to $4 million range. Looking ahead to 2016, we are positive about the momentum in our core business. We've discussed positive group trends. We're seeing strength in our transient rate progression driven by higher rack rates. Our corporate rate negotiations give us confidence as well. While still early in the process, negotiated corporate rates are likely to be up in the mid-single-digit percentage range or higher next year and we expect another strong year of new openings. Also I'd like to mention one change that we are making effective January 2016. As it relates to our calculation of adjusted EBITDA, we intend to add back stock-based compensation expense. We are making this change to more closely align with our industry peers. We wanted to give everyone plenty of advanced notice on this change. For 2015, we expect stock-based compensation expense to be roughly $25 million. When we make the change in the first quarter of 2016, we will provide a quarter-by-quarter look-back to help you in your modeling. Again, we are very pleased with the results in the third quarter. Our growth is reflective of strong RevPAR gains, continued positive transient and group demand, and our openings pace which is leading to strong fee growth. Our October results give us confidence in the fourth quarter and the view for 2016 and beyond is bright. With that, I'll turn it back to Melissa for our Q&A session.
Operator: Your first question comes from Joe Greff with JPMorgan. Your line is open.
Joseph R. Greff - JPMorgan Securities LLC: Good morning, everybody.
Atish Shah - Senior Vice President, Interim Chief Financial Officer: Good morning.
Mark S. Hoplamazian - President, Chief Executive Officer & Director: Morning.
Joseph R. Greff - JPMorgan Securities LLC: Just with respect to your buyback activity in the 3Q and the fourth quarter to-date here, are you buying in the open market discretionarily or is it part of a more preset programmatic approach where you blacked out at all this quarter or this month. How much buyback activity occurred between the A and the B shares?
Mark S. Hoplamazian - President, Chief Executive Officer & Director: Thanks, Joe. The repurchases in the fourth quarter have been A shares. And we said in the past that we have availed ourselves of various different methods for repurchase. But, we haven't really gone into detail about that. And we won't, at this point, either.
Atish Shah - Senior Vice President, Interim Chief Financial Officer: Yeah. I only add that the purchases in the fourth – third quarter were also A shares...
Mark S. Hoplamazian - President, Chief Executive Officer & Director: Yes.
Atish Shah - Senior Vice President, Interim Chief Financial Officer: ...both third quarter and fourth quarter to-date.
Joseph R. Greff - JPMorgan Securities LLC: Okay. And, Mark, from where you sit and what you're seeing, given that you owned the Park Hyatt New York in the past were considering selling additional limited service hotels. What's your view on the property transaction market in the U.S., both in terms of capital out there (33:03) and pricing, maybe in relation to where both capital out there (33:08) and pricing were at beginning of the year?
Mark S. Hoplamazian - President, Chief Executive Officer & Director: Thanks, Joe. I would say, overall, the big change sort of last year to this year has been the volume of – and maybe just velocity of large portfolio deals in select service assets and so we saw lot more of that a year ago than we have this year. But, overall, I would say activity remains really high, interest remains really high, there is capital flows from many different sources, a lot of different foreign capital seeking investments. And, of course, rates have remained very low. So I would say, both our perception and our experience in looking at different things suggest to us that asset values have held up well. And we're also constantly looking around the market for new opportunities and I would say expectations remain strong as well. So I would say, both in terms of practice and reality and perception both strong. New York has been an interesting market for us, because while the overall market has had some challenges, our ramp with our Park Hyatt New York property, which you mentioned, just now has been extremely strong. We ran a very strong third quarter, over 70% occupancy and $900 rate – over $900 rate. So I think our rate exceeded $1,200 in September. So we've really seen some significant demand at that level and in that customer category in New York.
Joseph R. Greff - JPMorgan Securities LLC: Okay. Great. And my last question here, the adjusted SG&A came lower than what we had modeled in the 3Q, and you referenced there were two reasons there. How do you look at the growth rate and adjusted SG&A at the medium-term here, assuming the current business model, excluding any potential M&A on a like for like basis, relative to how you reported that line item in 2015?
Atish Shah - Senior Vice President, Interim Chief Financial Officer: I mean, we – generally, we think of SG&A growing in the 3% to 4% range. I think we benefited this year both from timeshare coming out. So from a comparison perspective, but also some expense management particularly on the payroll side. So we've done a good job on cost containment and expense management this year, but sort of medium to longer term, 3% to 4% is the range that we're targeting.
Joseph R. Greff - JPMorgan Securities LLC: Great. That's all from me. Thank you.
Atish Shah - Senior Vice President, Interim Chief Financial Officer: Thanks, Joe.
Mark S. Hoplamazian - President, Chief Executive Officer & Director: Thanks, Joe.
Operator: Your next question comes from Steven Kent with Goldman Sachs. Your line is open.
Steven E. Kent - Goldman Sachs & Co.: Hi, good morning. Couple questions. First, do you or your shareholders need to have more float or liquidity in order to achieve diversification goals. Is that part of what the board talks about? And then, since – may be you could talk a little bit about onefinestay, your investment there and your thoughts on Airbnb?
Mark S. Hoplamazian - President, Chief Executive Officer & Director: Sure. So with respect to the first question, as we have been active in the repurchasing area, we do pay attention to float and trading volume. It happens that trading volumes have remained very, very strong and we've seen continued ability for people to be able to trade in and out of our stock. So it doesn't mean that we're not paying a lot of attention to it because we are and it's a factor that we consider as we look at our repurchase activity. But so far it's not really been an issue that's constrained our thinking. With respect to onefinestay and may be the sharing economy more broadly, it's interesting to be commenting on this with the group on this call, because there's been so much written in the recent past of wide and – widely ranging, I guess, and widely varied perspectives on what's going on. And I think that partly reflects the fact that there aren't really good statistics. A lot of people are making a lot of sort of guesses as to what the impacts look like and how to think about this. From our perspective, we've always – we've, for some time, looked at this whole sharing economy dynamic as a broad consumer issue and the consumer behavioral change and we've always been drawn towards it, not sort of away from it. Because we feel like, we need to learn from what we're seeing evolve in the market and how consumers think and how they behave. And so we've looked at it in a different way and we thought about how – what does learning about it really mean, in the case of the onefinestay investment and some of the activities we've had with them, it's really been experimenting with, how we could potentially extend the brand experience for Hyatt customers and also understand, how we may be able to interface with and help support different kinds of stay occasions outside of our hotels. And so, it's really been an experiment and a learning expedition which has been really valuable and very rich, onefinestay has a very strong operating ethos and a very strong purpose-based culture which is consistent with ours. And so, it's been a great relationship to-date and they continue to be very active and looking around the world to different opportunities. I just think that, as we evolve over time, this is going to be a part of how people travel and how people experience the world not just in lodging, but in transportation and travel more broadly. And I think that means we have to go towards it and understand it better and better.
Steven E. Kent - Goldman Sachs & Co.: Okay. Thank you.
Operator: Your next question comes from Bill Crow of Raymond James. Your line is open.
Bill A. Crow - Raymond James & Associates, Inc.: Hey, good morning. Mark, I want to dig in on the same subject, Airbnb, because it's in the news today on two fronts with Prop F in San Francisco. And then the area I want to focus on, which is the American Express announcement, where they announced a partnership with Airbnb, which among other things gives the cardholders a chance to use Amex points for Airbnb stays. It seems to be, if nothing else, just kind of legitimizes Airbnb amongst Amex's core business customer. So, my question is, given the importance of the traditional hotel industry to Amex and their business, what is your gut reaction to that and is it possible that hotel industry could potentially promote other forms of payment to send a message to Amex? Thanks.
Mark S. Hoplamazian - President, Chief Executive Officer & Director: Look, I think the fact is that the dynamics with respect to both – because you've covered a lot of ground there, Bill – so with respect to both the regulatory aspects of what's going on, which are really heightened at this point, there has been a lot of activity in depositions taken and testimony given in New York and San Francisco, there has been a lot of activity in London, Amsterdam, Paris. So, I would say in all the major jurisdictions where you see concentrations of sharing economy lodging, there is a lot of regulatory activity. And, I think, it's all generally headed in the direction of ensuring that there is a level playing field, having a tax regime that makes sense, and also making sure that there aren't effectively illegal hotels operating, which has really been the focus of attention in New York in particular. And so, I think those are all healthy things that are evolving and should have been. It's also true that if you look at sort of usage at this point and this kind of relates to the Amex question you're asking, a lot of what you imagine and also a lot of what's been reported in terms of usage, so purpose of visit and occasions of stay, through that lens, you see it's much more leisure-focused. It doesn't mean that, in fact, Airbnb is focusing on their attention on how they could be effective on the business travel front. But there are just some inherent differences in what they can offer and what hotels to offer. And I think those differences are really, really material and substantive in terms of stay experience for business travelers. So, do I think that there will be incremental penetration, over time, for business travel? Sure. But it's not anywhere near the incidence of leisure travel and that purpose of stay. And so, with respect to – I think, it's not just Amex, when you look you see other players in the industry, whether they're online travel agencies or other networks, that are starting to carry and represent different types of lodging alternatives, and you see the incidence of even in some selected cases branded inventory showing up on even Airbnb's platform, typically in the context of a timeshare or a branded residential property. So, I would say that the lines are blurring and there's a lot of cross-channel distribution going on. And I think we're only seeing the beginning of that, I think this will grow in incidence and complexity over time.
Bill A. Crow - Raymond James & Associates, Inc.: So no got negative reaction to the Amex I guess on your part is the bottom line?
Mark S. Hoplamazian - President, Chief Executive Officer & Director: Yeah, I mean I think, right now, our assessment is to evaluate and take a look at how this evolves, because honestly I think there is – there are a lot of people in different walks of life, whether they be convention bureaus or Amex in the case of that you've mentioned, who are really – they're exploring at this point. I don't think that there is a strong expectation and knowledge of what the flow of business is going to be. And I think some of the experiments that we will see on how convention bureaus and city – individual city sort of travel and tourism bureaus start to engage with sharing economy companies, we'll – it'll be interesting to see what comes out of that. One of the things that I hope comes out of it is better data, because right now it's really a guessing game and a lot of people are shooting – making a lot of shots in the dark.
Bill A. Crow - Raymond James & Associates, Inc.: Great. I appreciate your time. Thanks.
Atish Shah - Senior Vice President, Interim Chief Financial Officer: Thank you.
Operator: Your next question comes from Jeff Donnelly with Wells Fargo. Your line is open.
Jeff J. Donnelly - Wells Fargo Securities LLC: Good morning, guys. I have a few questions. Mark, I just want to circle back on the comments concerning asset prices. There had been some chatter obviously earlier in the year about you guys looking to monetize the Park Hyatt, I don't expect you'll be able to talk specifically to that property, but can you talk about whether or not you're actively exploring the sale of any owned real estate at this time?
Mark S. Hoplamazian - President, Chief Executive Officer & Director: Thanks. When we closed that transaction to buy the Park Hyatt New York, I was asked at that time whether this would be an asset that would be available for recycling and I – my answer was emphatically, yes. Because we always thought that – the whole purpose of doing the deal was to secure that location and, over time, if it makes sense to sell it, we should sell it. So that remains true. But, having said that, we're not actively marketing anything at this point. It doesn't mean that there aren't dialogues – there isn't dialogue and discussion in different places around the world, we happened to own a number of key assets in key locations that always garner interest. And so, there seems to be a steady flow of discussions that relates to those types of assets, and that's really through the cycle, it's not necessarily only when there is a lot of activity, because it's very owner or buyer specific in that regard. But, right now, we're not out – actually out marketing properties.
Jeff J. Donnelly - Wells Fargo Securities LLC: Okay. And just, maybe a separate question was on your group pace. I think in your remarks you said that it was up in the low-single-digits for 2016 and that was two-thirds of your business was on the books for next year. I just want to clarify, is that low-single-digit growth rate you're referring to a same-store change in the gross dollar volume booked thus far, how is that calculated?
Mark S. Hoplamazian - President, Chief Executive Officer & Director: Yes, it is. And that's, of course across the market. So, the thing I – it's an Americas number. What I would say, is two things, one is the – given convention calendars, there is an ebb and flow to – and a cycle to conventions in different markets, and given how we're set up, when we look at how 2016 unfolds. The convention calendar is not as strong as it was in 2015 in some key markets, in which we happen to have bigger representation. Having said that, our group pace for our owned and leased properties is up over 8% for 2016, and so our confidence level – I think you can probably hear it in our tone, our confidence level in what we're looking at and how group continues to evolve is really high and we just see continued strength and momentum in corporate bookings, the current bookings from different corporate segments has really been extremely strong. So we look at corporate profitability and there were some commentary recently about how corporate profit growth may be underwhelming at this point across the board. When I look at what we're looking at here our top three corporate sectors, which is high-tech, pharma, and banking and finance. They were up in room nights in the third quarter over 5%, almost 6% and revenue was up over 10%. So we're not serving the broadest base of corporate America, we're serving some segments. And by the way the reason I pick those three is that they are the three largest corporate sectors that we serve in that order. So I would say, as I look at the demand and nature of the demand and where it's coming from and so forth, it's really very, very positive.
Jeff J. Donnelly - Wells Fargo Securities LLC: And just one last small question, Marriott had made some comments about maybe looking to change their guests cancellation policies and potentially having some degree of an impact on occupancy rates. Are you guys going to be changing or making that more restrictive as you move into 2016? I think in the past some brands talked about it maybe being a benefit to their occupancy rates, I was curious what your thought was?
Atish Shah - Senior Vice President, Interim Chief Financial Officer: Jeff, a little over a year ago, we moved to 24-hour cancellation across the board. And I think if you look at different properties and different markets, we do have kind of stricter cancellation policies, but there's no intention to sort of make an across the board change right now, but I do think we're looking at that depending on property and season with a little bit closer an eye.
Jeff J. Donnelly - Wells Fargo Securities LLC: Okay. Thanks.
Operator: Your next question comes from Thomas Allen with Morgan Stanley. Your line is open.
Thomas G. Allen - Morgan Stanley & Co. LLC: Hey, good morning. I was hoping to clarify a couple of things you said earlier, get more detail around them. First, just around group RevPAR in the third quarter, you said it was impacted about 290 basis points from the timing of holidays. Do you expect to get a benefit in the fourth quarter from the timing of holidays comparable to that 290 basis points? Second question, was just on your incentive management fees. You noted that FX had a negative impact, ex-FX it would have been flat; looked like it was tracking up mid- to high-single-digits through the second quarter. So just wondering why the deceleration there? And then finally, third thing is just you noted around Hong Kong, weakness in Hong Kong, you said that Mainland tourists were travelling to other markets not Hong Kong. Did you actually see that in your traveler databases or is that more of a high level economic comment? Thank you.
Atish Shah - Senior Vice President, Interim Chief Financial Officer: Okay. So on the first question with regard to group, I think, if you look at the change in group, if you think about September and October together, group was up about 7%. So I think that really shows that it's pretty consistent, if you take out kind of the impact of the holiday. So I don't want to give kind of a fourth quarter group number or what we specifically expect but across both it was roughly 7%. Your second question was with regard to incentive fees and it's frankly just a comparison issue to last year I think that we had a couple of properties that hit incentive fees in a different way. So, that drove a tough comp and we'll look into a little bit more detail on that and we can get back to you or post the answer. And with regard to Hong Kong, Mark, do you want to take that one?
Mark S. Hoplamazian - President, Chief Executive Officer & Director: Sure. It's a market dynamic and also validated by what we've seen. So, we've seen increased travel to other destinations in Southeast Asia for sure and there were some specific restrictions put into place with regard to travel to Hong Kong and a little bit of sort of follow-on effect from the decline in Macau, travel to Macau. So, I would say, it's both a market dynamic, it's something that we've been able to validate as we look at travel across Southeast Asia.
Thomas G. Allen - Morgan Stanley & Co. LLC: Helpful. Thank you.
Atish Shah - Senior Vice President, Interim Chief Financial Officer: Thank you.
Operator: Your next question comes from Shaun Kelley with Bank of America. Your line is open.
Shaun Clisby Kelley - Bank of America Merrill Lynch: Hey, good morning, guys. I just wanted to revisit the Airbnb stuff because there's so much going on about it today. But, Mark, I was curious because you mentioned, obviously, a little bit more of a constructive approach to the kind of concept here from the consumer standpoint than I think we've heard from some other hoteliers. And you guys also have a lot of owned hotels and look at it from both an ownership perspective and from a management and franchise perspective. So, my question is this, what would it take to become more interested and more open to you thinking about Airbnb or using something like Airbnb as an additional distribution platform, perhaps as an opportunity to potentially push back or negotiate against the OTA landscape which just starting to – which continues to gain strength and is starting to actually consolidate as well.
Mark S. Hoplamazian - President, Chief Executive Officer & Director: Thanks for the question. It's a complicated topic, because, frankly, Airbnb is not in the business of representing hotel rooms on its platform. So, it's really hypothetical, I haven't really given that much thoughts of that particular opportunity or potential, I would say. So, really hard to try to piece together what would need to be true in order for that to work well.
Shaun Clisby Kelley - Bank of America Merrill Lynch: Or maybe I can ask it differently, if they approached you with the opportunity to maybe sell hotel rooms on their platform, is it something Hyatt would ever consider or do you think you'd be a non-starter with the ownership community?
Mark S. Hoplamazian - President, Chief Executive Officer & Director: I think the issue always relates to, how – and this relates to any distributional channel, but how – first of all, what's the interface with our guests, and what's their interaction with our brand and who we are versus someone else's brand and who they are. So that's one key consideration. How our inventory would be represented is another key consideration. Frankly, the big divide that we are very focused on, because we – as you said, we own a lot of our own hotels, we also manage a lot of hotels for others, and we are hyper-vigilant on paying attention to how people are travelling and what their purpose of visit is, and how that segregates or sub-segments and what kinds of choices they make when they're travelling. And so, that would be another dimension that I would be thinking about, which is what's really the purpose of visit for people and people are showing up on, say, that platform versus someone else's and what does that imply about, what it is that we would be thinking about offering through such a vehicle. So, those are the key considerations I would be thinking about.
Shaun Clisby Kelley - Bank of America Merrill Lynch: That's really thoughtful and helpful. So appreciate that. My last question would just be on a bigger picture sort of thinking about the landscape more broadly. We have seen a number of your competitors launch collection brands relatively recently, you guys sitting here with seven brands, do have some pretty compelling offerings in most of the key chains scaled (55:25) at this point but you don't have a collection brand per se. So I'm curious on your thoughts on that, is it something that you could look at or how do you view those types of opportunities directionally?
Mark S. Hoplamazian - President, Chief Executive Officer & Director: Thanks. Well, we have nine brands actually not seven. But I would say that the – there is a – again back to the framing, the mindset of thinking about purpose of visit and stay occasions, I think one benefit that comes from having – from broadening the diversity of the types of stay occasions you can offer guests is that you're able to have them stay with you in your system, so to speak, from more of their travel meets. And so, and – but in a very, very significant expansion and diversity. We've actually sort of approached this by affiliating with the some hotels. We have a few hotels that are in the portfolio currently that are part of the Hyatt system but not branded and that has led us to be thinking about whether and how we would approach a collection brand. So it's under active discussion at this point.
Shaun Clisby Kelley - Bank of America Merrill Lynch: Thank you very much.
Operator: Your next question comes from Harry Curtis with Nomura. Your line is open.
Harry C. Curtis - Nomura Securities International, Inc.: Yes, hi. I've got a couple of questions here. In the third quarter, you mentioned transient demand was up 9% and then in the fourth quarter you've cited the strength of the group side. Can you give us a sense of has there been any sequential change on the transient side in the fourth quarter?
Atish Shah - Senior Vice President, Interim Chief Financial Officer: Yes, sure, Harry. I think, first of all, as to the transient demand so far in October, it's been up in the mid-single-digit percentage range. Group demand has been stronger. And I think one of the dynamics is that you had so much strong group that has displaced some transient business. But, overall, I'd say, look I gave the numbers that we've experienced so far in the quarter for the month of October and we're pleased with the results and certainly at expectations.
Mark S. Hoplamazian - President, Chief Executive Officer & Director: Harry, I just – I would just correct one thing that you said, and that is, we – so transient revenue was up 9.2%. Transient demand, so if you break it down, rate was up about 5% and rooms rev – rooms, that is, demand, was up a little over 4%. Just to be clear.
Harry C. Curtis - Nomura Securities International, Inc.: Okay. Very good.
Mark S. Hoplamazian - President, Chief Executive Officer & Director: That's for the third quarter.
Harry C. Curtis - Nomura Securities International, Inc.: In terms of displacing transient, is there much opportunity, do you still have lower-rated transient business that, I mean, does – do airline cruise even qualify as transient? Are there – is there some transient business that you're trying to kind of squeeze out?
Mark S. Hoplamazian - President, Chief Executive Officer & Director: So crew cruise business and similar business is not considered transient in the way we track it, it's more contracted business. And the fact is that, mix shift and across different sub-segments of transient, travelers has continued. So there are always opportunities to mix shift. And the key is when you've got demand at the level that it's at and occupancies where they are, it becomes really a key part of ongoing revenue management.
Harry C. Curtis - Nomura Securities International, Inc.: And last question for me is when we think about Hilton and Marriott, they have the benefit of scale and with the benefit of scale you get brand diversification, you get more interest on the part of some developers. So, if you guys could talk about the importance of scale and the advantages that it could benefit or could bring to Hyatt?
Mark S. Hoplamazian - President, Chief Executive Officer & Director: Well, look, I think one of the things that we have consistently focused on is purposeful growth, very, very focused growth. And we have really focused on the fact that we are underpenetrated in a lot of markets and maybe not present in a lot of markets. And that's really led to I think very, very strong net growth in both hotels and rooms. So, I was looking at this to see how we can start to track this longitudinally. And if you look at 2014, we were up in hotels net growth of 6.5% and rooms of just under 5%, 4.6%. And if you look at the trailing 12 months, our net growth in hotels is over 8% and in rooms is at 5%. So, I guess it's just demonstrating that how we've gone to market and really focused on increasing the reach of our brands in key markets. So – and this isn't just adding a bunch of hotels that are deep into our representation in a given market, in a lot of cases these are first or second representation in a given market. So, I would say, it's not – a lot of people talk about scale or size in this aggregated abstract, we're thinking about it through the lens of our customers and our guests and where they're traveling and where we need to be and that very deliberate approach has led to, I think – and the strength of our brands actually and how we've been operating I think yields these kinds of net increases in rooms and in hotels. So I think it's clear that our strategy is working really well. The benefit of size is awareness, I think you have more voice in the marketplace and so forth and what we're trying to do is make sure that we leverage those very deliberate and very plan-full openings to expand the brand awareness as much as possible.
Harry C. Curtis - Nomura Securities International, Inc.: Very good. Thank you.
Atish Shah - Senior Vice President, Interim Chief Financial Officer: Thanks, very much, Harry. Given that a...
Operator: We have no further time for questions. I will now turn the call back over to Mr. Atish Shah for any closing comments.
Atish Shah - Senior Vice President, Interim Chief Financial Officer: Thank you very much, Melissa. Thank you everyone for joining us today. We look forward to talking to you soon. Have a great day. Good bye.
Operator: Ladies and gentlemen, this concludes today's conference call. You may now disconnect.